Operator: Good afternoon and welcome to theThird Quarter 2007 Conference Call. I would like to remind all parties today'sconference is being recorded if you have any objections you may disconnect atthis time. All parties will be in a listen-only mode until thequestion-and-answer session of today's conference. (Operator Instructions). I would now like to turn theconference over to, Mr. Richard O'Brien. Sir, you may begin.
Richard O'Brien: Thank you, operator. Thanks forjoining us today on our third quarter conference call. With me today areRussell Ball, our Senior Vice President and Chief Financial Officer; Guy Landsdown, our Senior Vice President of Project Development;Randy Engel, our Senior Vice President of Strategy and Corporate Development;and John Seaberg, Group Executive, Investor Relations. While we get started I just wantto remind you that we will be discussing forward-looking information involvinga number of risks certainly which are unique to our industry as described inour SEC filings. On today's call we will focus onour third quarter financial results and we will also take the opportunity toprovide you with an update on our continuing progress with respect to ourstrategic initiatives. In the four months following myappointment as CEO, our team is focused on execution and decisiveness enablingus to successfully create the world's premier unhedged goal company, whilerenewing our commitment to our core gold business. I would remind you all that it'sonly been four months, and that while I am very pleased with the team, the teamefforts, and the focus that we've generated here in Newmont, we still have alot of work to do. As we begin to see the benefitsof our strategic efforts, we also remain focus on our day-to-day activities:including stabilizing our operating cost profile, improving our operationalperformance, developing our existing projects and creating value from ourprospective pipeline. We are also taking a renewedapproach to sustaining our business through a combination of exploration,development and from time-to-time where appropriately accretive acquisitions. Wealso know that success will not come overnight, but we'll achieve it throughconsistency, commitment and successful execution year-after-year,quarter-after-quarter and day-after-day. As previously mentioned, andshown on this slide, our strategic foundation has five main components focusingon; first: financial strength and flexibility, second: operational execution,third: project execution, fourth: exploration and commitment and fifth:leveraging the scope and scale of our global operations. We'll cover each of theseinitiatives throughout the rest of this call. Before we review the results fromour third quarter, I want to spend a few minutes viewing our outlook for theremainder of 2007. With only three months remaining in the year we have heldour outlook for equity gold sales to between 5.2 to 5.4 million ounces. Reflectingpreviously announced lower equity gold sales at Batu Hijau, the suspension ofoperations at Midas and ongoing challenges at Phoenix, which I will cover in more detaillater. In addition, we are implementingplans to reduce our traditional fourth quarter push, which should over timeresult in a flatter production profile on a quarter-by-quarter basis. Don't expectus to keep the foot on the accelerator here in the fourth quarter of every yeargoing forward. We do expect that, over time, we will flatten out this productionprofile. More over, this quarter we'vebenefited from Batu Hijau being at the bottom of the pit. That will not be thecase throughout all of the fourth quarter and we still have some additionalwork we are completing in Nevada to continue to move the Nevada profile up tothe expected production levels at Leeville. We still have some work to do hereto continue to get our production profile where it needs to be. Equity copper sales, the second lineon this slide, have decreased slightly from our initial guidance and this aswell as the equity gold sales at Batu Hijau were both reduced as a result oflesser economic interest that we have at Batu Hijau, due to the repayment byour minority partner there carried loan. But this is consistent with theguidance that we provided in the second quarter after that loan was repaid. We now expect 2007 costsapplicable to sales to be 400 to 430 per ounce, up from 375 to 400, as we toldpeople at the Denvergold show. We were expecting CIS to be beyond the upper range of the guidance.This is the new guidance. This change in outlook reflectsthe impact of the ongoing challenges at Phoenix,lost production at Midas, higher input costs primarily fuel adverse exchangerate movements. The remainder of the items are largely in line with our initialQ1 outlook, or slightly positive, in the case of capital expenditures and theeffective tax rate. As this chart illustrates, higherdiesel fuel and consumable costs represent approximately half of our increasein cost applicable to the sales for the year. If you move from the guidance tothe prior outlook on the left, to our current outlook on the right, you can seethat on the chart. The other major factor is thehigher cost in Nevada, at Phoenix, and reduced production at Midas,both of which are reflected in the production segment of the chart. Inaddition, as we benefit from a higher gold price, we do see a negative impacton our costs in the form of higher royalty payments and workers participationat Yanacocha in Peru. The adverse changes in foreignexchange rates, primarily in the Australian dollar, essentially represent thebalance of the change in our outlook from the beginning of the year till now. Tied from our challenges with Phoenix and Midas in Nevada, the operating cost escalation,illustrated in this chart, is probably reflected of the issues faced by theentire industry. Shifting our attention fromoperating results to financial results, this chart illustrates the absolutechange in our operating margin 2003 through Q3 2007. This is slide number 7. Asthis chart illustrates, gold is up over 85% since 2003, while our margins have grownby roughly 75% during the same period reflecting the impact of industry-widecost pressures. These pressures, when coupledwith the mature nature of the world's gold deposits, have somewhat suppressedthe industry's average operating margins. Ours have been impacted similarlywith our margins remaining consistently between, 40% to 50% of average realizedgold prices over the past several years. As a result, gold equityevaluation remained under pressure with multiple contractions evident acrossthe entire sector. We are keenly aware of these pressures and are focused onaddressing them through the initiatives I continue to emphasize each time Ihave the opportunity to speak with you. Our offer, compelling valueproposition for our shareholders, we know we must remain vigilant and focusedon cost control, operational execution, as well as new ways of exploring forand developing new projects. With the gold price today nowsignificantly higher than the 681 shown for the third quarter of 2007 on this chart,we continue to focus on operational execution and cost containment as we aresuccessful at that, we and our shareholders will benefit from higher marginexpansion going forward. So we have committed to keep themarket informed with respect to our progress at Phoenix and on slide 8; I am going to talkabout that for a minute. Phoenixcontinues to be the most challenging operation in our portfolio, while wecontinue to make progress and advance our improvement plans, it will still taketime to successfully work through each of the issues inhabiting the success ofthis long term asset. For the third quarter Phoenix'sequity gold sales were 46,000 ounces at cost applicable to sales of $605 perounce. For the year Phoenix's gold sales were just over 130,000 ounces at costapplicable to sales of $743. So improvement in the third quarter clearly but westill have our ways to go at Phoenix. During the quarter we mademodifications to the blasting process, which led to improved ore fragmentation,enhanced recoveries and process efficiencies. Phoenix now also continues to perform welland has recently been running in excess of 90% availability. Even with these changes we willnot know whether significant improvements in operating costs and production canbe achieved until we redefined the ore body and metallurgy. Our re-drilling program is wellunderway with approximately 46 of the 183 planned drill holes complete. Weremain on schedule to finalize this drill program in the first quarter of 2008.The drill data will then be used to create a new life of mine plan, which wecurrently anticipate will be completed by mid 2008. We're also addressing orehardness issues that have plagued us in startup with the installation of a newcrusher, which should be in place in the first half of 2008. Also at Phoenix we continue to evaluate a copperleach program that could allow us to process the oxide copper ore that sits ontop of the sulphide ore body. Copper leach project is incremental to theexisting Phoenix operation and has the potentialto reduce the overall operating costs at Phoenixby generating positive net revenue from material currently characterized aswaste. Although we remain optimisticabout the possibility of this project becoming a reality, it still remainssubject to considerable review and optimization studies with permitting on thecritical path. Our current estimate is that the copper SX/EW plant could startup in 2010 pending permitting and other factors. We'll continue to keep youinformed in our progress on this project. So, in summary, for the thirdquarter I am very pleased with the progress that the team has made with respectto the operational side of the business. I think people continue to exhibit allthat I could ask for them to do to really focus in on keeping their operatingcosts in check and trying to move the business forward at the same time. Ithink that reflects positively on results, because some people in the companyare listening to this call, I'd just like to take the opportunity to complimentpeople for keeping their heads down and getting the job done successfully. So with that I want to turn itover to Russell who focusing on financial strengths and flexibility is going towalk through the highlights of the third quarter.
Russell Ball: Thanks, Dick and good afternoonall. I will start with the financial highlights for the quarter noting that thedetails are contained in our earnings release and our 10-Q, which we expect tofile later this afternoon. In addition, for those who are watching our filings,you will see we will be making three filings related to the proposedacquisition of Miramaralso hopefully later this afternoon. The extent of detailed questions on yourresults, I am sure that John Seaberg and his team will be happy to walk youthrough the numbers. We had a strong third quarter,earning $0.88 a share. Essentially doubling our earnings from the year agoquarter. It is driven largely by higher commodity prices, as we realized thebenefit of being completely unhedged both on the gold and the copper side aswell as increased production as Dick discussed earlier from our Batu Hijauoperation. We generated approximately $520 million in cash from continuingoperations, which is up about a 150% from the previous year's quarter. Maybe it's important to look,just briefly, at the negative operating cash flow number that you see on slide10. We are about $100 million for the year-to-date, because this hedge isreflecting a number of the strategic initiatives that we have implemented sincethe change in leadership at Newmont. We have used about $580 millionto eliminate the gold hedge book in Q2. We also spent about $280 million tosettle a pre-acquisition tax contingency related to tax contingency Normandy and about $180million to settle the copper hedge obligations which expired in the first halfof 2007. So when you look at operating cash flow for the year, essentially weconsume just over $1 billion getting out of those hedge positions and settlinga pre acquisition contingency. For the quarter we realized anaverage gold price of $681 per ounce, which is up 11% from the year agoquarter. Costs were $388 an ounce, which is an increase of 22% from theyear-ago quarter and I will speak of that in some detail following. As Dickreferenced earlier, the continuing operating cost pressures are notparticularly unique to Newmont. For those following the slides onslide 11, you'll see that the reported net income for the quarter was impactedby two transactions. The first was a reversal offoreign tax credit valuation allowances of $84 million. You might recall thatin the second quarter we provided valuation allowances so it reflected a chargeof approximately $109 million, which is essentially what we reversed in thisquarter due to tax planning opportunities related to the sale of our merchantbanking assets and the royalty portfolio in particular. As you know note, I wouldappreciate our tax calculation is complex and is, as these last two quartershave proved, they can be very volatile on a quarter-to-quarter basis. This isparticularly so in light of our discontinued operations reporting for themerchant banking portfolio and as their share in Newmont expropriation andsubsequent gain. As we look in turning at ourbusiness and for those of you crunching the numbers in your spread sheets. Weuse an effective tax rate of 32% for our planning purposes and while you willcontinue to see volatility going forward that's the number that we arecomfortable with that reflects the attributes that we have and the assets wehave in the locations we operate currently. In addition, during the quarterwe received $80 million pretax related to the settlement of the Zarafshanexpropriation, which again essentially reverses the $100 million pretax chargewe took in the third quarter of '06 to reflect that event. You'll note that the thirdquarter of 2006 benefited from the gain of our Alberta Oil Sands sale and thesales of Martabe project in Indonesia and that's the $193 million that you seein parenthesis for Q3 '06. So, again a strong quarter, butclearly, as Dick alluded to earlier, the $0.88 is not sustainable when you havea look at the gains that we have reflected here, in particular the twohighlighted on this, and the fact that Batu had an outstanding quarter and I'llspeak to that in a little more detail. For the quarter we soldapproximately 1.3 million ounces of gold and when we look at the portfolio as awhole, our production was essentially in line with our initial outlook. On slide12 and 13, we will be presenting a different view of our results from whatyou've historically seen and we will compare this quarter's results not onlywith the third quarter of '06, which has been a traditional comparison, butalso with our internal outlook for the year which we communicated to you at thebeginning of the year in the form of our Q1 guidance. Quite frankly, in my view, thecomparison with the prior year is less meaningful, particularly in our industrygiven grades strip ratios and other mine plan changes that most of you on thecall are intimately familiar with and I will be focused on comparing ourinternal results for the third quarter with what we told you at the beginningof 2007. As we look at the third quarterresults for '07 showing here in the green bar compared to our initial outlookfor the third quarter showing in the blue bar. Again the portfolio is generallyperforming as expected. Nevada continues to bea challenge as we work our way through the issues at Phoenix and Midas, that dick alluded toearlier. For the quarter Phoenix was short approximately 27,000 ouncesand Midas was short approximately 28,000 ounces as the operation waseffectively shut down for the quarter. Excluding Phoenixand Midas Nevadais largely performing in line with expectations. Though we are substantially lowerthan the year ago quarter Yanacocha is performing as expected and is actuallydoing a great job transitioning to lower production. In Australia beside from the adverseimpact of the Aussie dollar we had a good quarter and exceeded productionexpectation. The KCGM operation continues to be an area of concern and wecontinue to work through issues and potential solutions to that with our jointventure partner Barrack. At Batu Hijau in Indonesiaour production is right on target on a 100% basis and when you look at equityproduction after adjusting for the effects of our reduction in our economicinterest that we reported to the market in Q2. The significant increase fromlast year's production was driven by both higher grade and higher throughput,as we were in the bottom of the pit and not only did we have higher grade andrecovery, but that's after all we were able to process additional throughputfor the quarter. At Ahafo in Ghana we remain slightly aboveexpectations, as we continue to benefit from higher power availability from thegrid and slightly higher grades than what we had modeled. Moving to slide 13, a similarformat here and again I will focus more on the initial guidance in blue versuswhat we actually did in green for the quarter and the comparative number forthe year ago quarter, that information will be provided at ad nauseum in the10-Q. For the quarter CAS was $388 perounce which was an increase of 22% from the year ago quarter. Beside from theprevious mentioned challenges in Nevada andthe FX rate in Australia,we are generally in line with our original outlook for the year as the bars onthis chart will attest to. The challenges we face and quite frankly thechallenges the industry face is that our assets are maturing. Grades arefalling and stripping continues to increase as open pits mature. This coupledwith the inflation in labor, diesel and other consumables is adverselyimpacting costs. Nevadacosts for the reasons discussed previously are above expectations, the impactof Phoenix wasapproximately $15 per ounce in 2003 or $23 an ounce for the year-to-date minersshutdown impacted CAS through the fact that it produces significantly lowerthan average cost ounces by about $3 per ounce in the quarter, so not a hugeimpact. Yanacocha continues to performaccording to plan and has done an outstanding job managing costs in a verychallenging environment. Keep in mind that in 2007 Yanacocha will moveessentially the same amount of material for approximately 38% less ounces thanwe saw in 2006. Australiaand New Zealand is outsideof our original outlook as the Aussie and New Zealand dollars continue toappreciate. Our initial outlook for the Aussie was based on $0.75. While wehave started a disciplined Aussie dollar hedging program we are essentiallyfully exposed to the Australian dollar for the remainder of the year. For the quarter the strongerAustralian dollar increased CAS by about $49 an ounce so not an insignificantincrease. On an Aussie dollar basis, however the region is actually underbudget when you look at it in Aussie terms we had a budget of 607 for thequarter and we actually delivered $573 dollars Australian so positive FX issuesaside. Batu Hijau exceeded our originaloutlook as we access more of the higher grade portion of the ore body in thethird quarter. As we had communicated previously the third quarter at Batu isgenerally our strongest, given the fact that we are in the bottom of the pitand are able to deliver more high grade softer ore to the mill. As the rainy season approachesand we are forced to retreat from the pit bottom, we increase our stripping andprocess lower grade ores in stock piles. So in short we want to see anotherquarter like this one at Batu for a while. Our first costs were better thanexpected due to the increase in production discussed earlier and favorablepower costs. There is no question that we must continue to focus our costcontainment efforts, but all things considering our operations generallyperformed in line with our original expectations set at the beginning of theyear despite significantly high oil prices in Australian dollar now approachingparity with the U.S. dollar. That's the bad, if you want thegood is that the higher costs are now more than offset by higher gold price,which is translating in to increased margin as Dick showed earlier on the slidewith margins. The weak U.S. dollar while herding in respect with CAS is helpingin that as a key factor driving the gold price higher and resulting in netmargin expansion discussed earlier. With that I am going to turn itover to Guy Landsdown for an update on our project executions.
Guy Landsdown: Thanks Rus, and good day toeverybody. Leading to project execution the construction of our wholly-owned 200megawatt coal-fired power plant is approximately 82% complete and continues tobe on schedule for start up around the middle of 2008. Project's capital costestimates remains at between $620 and $640 million. All significant contractsincluding rail, coal and operations and maintenance are substantially complete. When fully operational the powerplant is expected to reduce Nevada'stotal costs applicable to sales by around $25 an ounce. As you can see in thepicture first coal was delivered to the project in September and we arecurrently planning first fire on oil late this year or early next year. Turning our focus now to Peruthe gold mill project of Yanacocha is approximately 85% complete, with capitalcosts remaining on budget between $250 and $270 million. This processingfacility is expected to start up in the first half of 2008 and will have apositive impact in Yanacocha's operating performance as we move in to the nextgeneration of the storied mines life with a processing of high grade oxide andtransitional ores. Shifting our focus to Australia,Boddington remains one of the largest undeveloped mines in the world withsubstantial exploration upside in current gold and copper reserves of around 9million ounces and 840 million pounds respectively. Boddington at present isapproximately 50% complete and remains on schedule. It will start up around theend of 2008 or early 2009. Located only 130 kilometers from Perth, our ability toattract scarce skilled labor to this desirable location has been favorable, atthe same time we are building Boddington. We are also taking innumerable stepsto ensure we maintain a competitive on going operating cost profile. To thatend we find a long term agreement at competitive power costs for the life ofthe project. We are also in the process ofcompleting our definitive estimate to confirm our capital costs including theimpact of escalation and a stronger Australian dollar. This estimate isexpected to be finalized by early 2008 and we will communicate it to you atthat time. Given its scale and the exploration upsides this asset representsthe corner stone of the next generation of our Australian operating portfolio. Shifting our focus to ourdevelopmental assets, our Conga copper, gold coal free project, locatedapproximately 80 kilometers from the Yanacocha in Peru is one of our more advanceddevelopment opportunities. Equity reserves at Conga currently stand atapproximately 6 million ounces of gold and 1.7 billion pounds of copper. Todate we have continued discussions with the local community and the permitting processwith the goal of making a development decision in 2008. Also among our perspectivedevelopment assets our 100% owned Akyem project in Ghana is in the evaluation andoptimization phase. With gold reserves of around 8 million ounces we continueto work towards the development of this project with a watchful eye on thepower situation in Ghana and anticipate making a development decision on thisproject in 2008 as well. It's a brief overview of ourdevelopmental project with that I will hand it back to Dick
Richard O'Brien: As I have emphasized sinceassuming my current role we recognized that we can't change the mature profileof our asset base overnight nor can we change it by simply focusing only on ourinternal initiatives and projects. As a result we continue to take a fresh lookat exploration development and growth opportunities across the globe. We're evaluating prospects thatmight have been considered too small or situated in potentially challenginglocations historically. This slide shows, as part ofthese efforts we recently agreed to offer to acquire all of the outstandingcommon shares of Miramar Mining for Canadian $6.25 cash per share. Our robustlyvalued offer reflects among other things a premium that affords Miramar shareholders of the friendly transaction that isfully and unanimously supported by Miramar's Board of Directors and its seniormanagement. The offering circular will bemailed today and subject to satisfaction or waive of applicable conditionsincluding investment in Canadaapproval. We could begin to take up deposited shares on December 6th. This investment provides us anopportunity to establish a new core mining district in Canada with strong explorationpotential. Leveraging new mines technical and financial resources with theoutstanding were completed today by the Miramarteam. We believe we are best positioned to maximize the true potentials of Hope Bayassets. Once the transaction is finalizedin early 2008, we'll review all of the technical data within the context of ourstage-gate process and determine which development decision is best for therelevant stakeholders. In addition as we announced onJuly 5th, we plan to monetize components of our royalty portfolio preferablylater this year, to a dual track process to maximize for our shareholders torealized value of our discontinued merchant banking portfolio. To-date theinterest in these assets through both tracks and the associated values havebeen robust, with potential alternatives including a possible public offeringand/or private sales transactions. We will continue to work this dual trackprocess hard. We'll anticipate and identify the best options for ourshareholders before the end of this year. As I have indicated before weintend to apply the proceeds from the value realized through this process, tofund, the development and growth of our gold business. We could not have pickeda better and more opportune time to sell these assets. In closing I'd like to thank youfor your interest in our company and for taking the time to listen to our calltoday. With the completion of our early initiatives over the last four months,they have been full but there's only been four of them. We have created theworld's premier fully unhedged gold producer with a renewed focus on our goldbusiness. As we now turn our attention tothe end of 2007 in to our future I feel very fortunate for a number of things;first we have had a successful third quarter. Second we are beginning torealize the value of not putting the accelerator to the floor every fourthquarter. Look for more levelized production from this company going forward inthe future. Third a rich talented group ofemployees who support me and support the company in what we are doing. Andlastly a very rich asset base and a Board who supports us moving forward withthat asset base to make this company the best gold company in the world. Next chapter in our company'slong and established history we will continue to emphasize operational andproject execution as well as gold price leverage and a renewed approach toreplacing our reserves through exploration and business development. Inaddition, we are more committed than ever to leveraging our scope, scale andstandardized processes, to open new doors for growth, cost efficiency andincreased effectiveness across every one of our global operations. With these strategic foundationsclearly established, we look forward to the opportunities that lie ahead forthis company. It's upon these foundations that we engage with confidence in ourefforts to continue to rebuild Newmont as the gold company of choice and inturn we realize its our responsibility to earn your trust everyday throughconsistency, commitment, communication and execution. And with that, let me open thecall up for your questions.
Operator: (Operator Instructions). Ourfirst question comes from John Bridges with JP Morgan. Your line is open sir.
John Bridges - JP Morgan: Hi, Dick, everybody. I wonder ifyou can give us a better guidance as to the scale of the copper operation thatyou envisage, just sort of ballpark estimate so we can at least put somethinginto our model?
Russell Ball: Yeah. John, we are still early inthe stage-gate process and it's depending on cutoff. It can be anyway from 50to 150 million tons, which is what we are looking at right now.
John Bridges - JP Morgan: Okay. And what sort of grade ofcopper are you looking at in there?
Russell Ball: It's about a 0.2 to 0.25 plus orminus. Again, a function of cutoff capital costs and when we said it, we have anumber of people focused on that right now. The beauty of this operation andthis opportunity John is right now a lot of that oxide is what's causing us theproblem as we treat some of those ores, because of the lack of flexibilityright now in the mine plan. And then in long term those times will have to getmoved anyway so we are able to convert waste if you want into revenueproducing. So there is some nice synergy the issue for us quite frankly in thecritical pop is most operations will go to permitting and we're through theEIAs with the BLM and the relevant authorities out there.
John Bridges - JP Morgan: Okay great any sort for ordermagnitude on the CapEx, what are talking sort of $50 million, $100 million orsomething?
Russell Ball: Of the order of $150 million to$300 million
John Bridges - JP Morgan: So, inflation comes again.
Richard O'Brien: John, I'd just say it's stillearly days on this project lot of work to be done on it. I just think in thelight of keeping you informed on Phoenixwe felt it was important to let you know, that there is this opportunity outthere, it's several years away but we'll keep informed when we make progress.
John Bridges - JP Morgan: I appreciate that the numbers arefuzzy, but just wanted to get something. And just as a follow-up on Ahafo. Thecost there have the costs been sort of abnormally high because the stripping isgoing to come down or what sort of strip ratio should we expect going forward?
Russell Ball: John, just trying to normalize,what we had in the big quarter last year remember we started this up in thethird quarter last year.
John Bridges - JP Morgan: Yeah.
Russell Ball: So we had commercial production;we were capitalizing those initial mining costs.
John Bridges - JP Morgan: Okay.
Russell Ball: The costs last year wereartificially low as we only charged and effect the incremental costs throughCAS until we reached commercial production. The stripping in Ghana againwith the deferred stripping accounting is going to move and be pretty variablegoing forward, given the number of pits in that operation. It's a string ofpearls if you want on necklace, as opposed to one large pit. So as you get intonew pits you may have some deferred stripping and capitalization, so it's goingto really going to move around over the life of that project. And again, we canget you through John's groups, some of the stripping numbers for the quarterand you can have a look there. But don't consider Q3 '06 as indicative becauseagain we were able to capitalize some of those startup costs until commercialproduction.
John Bridges - JP Morgan: Okay, how do I get to anindicative number, can you tell me what the strip ratio was in three, and whatwe should look forward…?
Russell Ball: Well, John, we'll get you that.We have the numbers for the quarter in the attachments. We will get you toJohn's groups and look at posted on the website on the deferred strippingnumbers or the strip ratios if you want.
John Bridges - JP Morgan: Okay excellent, congratulationson the quarter, and I am really forward to Q4.
Russell Ball: Thanks, John
Operator: Our next question comes fromOscar Carbera with Goldman Sachs
Oscar Carbera - Goldman Sachs: Good afternoon, gentlemen;congratulations on the results. Dick, this is related to your management team.We have talked about, in the past, about the hiring of a COO and adding to thecore team at Newmont. Just wondering what those plans are now, the fact thatthe operations are, some of them appeared to be reaching a point where theirstabilizing is very encouraging. But how you guys are thinking in terms of justbuilding forward as you get, Boddington and you saw there are opportunities.That's the first one; I'll follow up another one?
Richard O'Brien: Thanks, Oscar, for your question.As I mentioned at the Denvergold show, I clearly realized that as CEO, I can't put in 24 hours a day, andeven if I could, we need some additional operating strength in the company. Oneof the five priority task that we have for this year is to get the organizationstructure right by the end of this year. An acknowledgement in that organizationstructure is twofold. One, we need additional operating strength--but not justat the COO level, but at almost every level in the company. Like a lot of othermining companies, we are competing for the best talent and we are finding itdifficult and we are also being poached of some of our best talent. With respect to the COO inparticular, my senior leadership team, which is composed of 11 folks have allagreed that the company needs to get the chief operating officer or someonethat looks like that and has that responsibility and we are all over that. Thetiming of that really is only reflective of how long it takes to attract theright person and get him into the company. We want to make sure we havesomebody that fits the concept that I have for running this company, which iswholly oriented towards the company and towards team performance and it mighttake us a bit to find somebody. But we are going to find the right person andthey will help take the operations to another level and I acknowledge what yousaid that some of the companies operations have reached a bit more stability.There is no question that we are in a challenging industry environment and weneed to continue to stretch our capacity and capabilities.
Oscar Carbera - Goldman Sachs: Thanks, Dick. Now the other thingwas. I was wondering if you can help us put into context--during one of Bonaventure'sconference calls, basically Bonaventure stated that they were maintaining theirguidance for 1.6 million ounces during 2007. How can we think of that projectgoing into 2008, do you still expect the mill or completion of the mill in thesecond of next year and how should we think about the mine ramp up followingthat? Thanks
Richard O'Brien: Yeah, Oscar what I would say iswe continue to stick with the guidance we have put forward in our 10-Klanguage, which basically says we're looking for a stable production over thenext several years. Think of the mill as really bringing forward economicwealth to the company through quicker processing of the oxide ores. It reallydoesn't add tremendous capability on a year-to-year basis in terms ofincremental allowances, it will help on the cost sides some, and it will helpenable us to better process more complex ores later. So there is lots of positives andit's a very positive economic for us, because we are processing these highergrade oxide ores more quickly rather than putting them on the leach. So weclearly have economic benefits but don't think if it as adding incrementalcapacity, think of Yanacocha as stable over the next several years.
Guy Landsdown: Yeah, Oscar I'll sort of add, wehad some guidance out there for a while as Dick alluded to of that 1.6 to 1.8range and again that's just a function of stripping in grade as we mine differentdeposits, so that's the range you should be think of Yanacocha.
Oscar Carbera - Goldman Sachs: Okay. Great. Thanks very much
Russell Ball: Thanks, Oscar.
Operator: Our next question comes fromVictor Flores with HSBC
Victor Flores - HSBC: Yeah, thanks. Good afternoon Ihave a question related to a Akyem. It seems from what you are saying thatyou've had another look at this project and I guess perhaps some of the concernthat you had with respect to going ahead with it have dissipated or changed orsomething is going on there. I was hoping that perhaps you could just give us asense of what has changed that's making you I guess a bit more encouragedtowards this project?
Richard O'Brien: I guess, Victor, what I would sayis we're probably as encouraged as we were a year ago. We just continue toflush out the optimal way to develop this deposit. We did some work with theEPA; they asked us several questions, which we've been responding to. In themeantime, we have continued to do our community baseline studies as we moveforward to what an Akyem development might look like. But this is not just about a onehour of fun while gold prices have really gone up so Akyem looks great. This ismore about sustainable commitment to getting value out of Akyem in a form thatwe feel is sustainable. So with that one of the issues we still have is poweravailability around the Akyem and we are still narrowing down the options thatwe have for the particular mine plan to get the best part of the deposit and tomake sure that we can comply with the EPA requirements. So in summary Victor what I wouldsay is we never really lost the confidence in the project. What we've reallysaid is where the power situation makes it difficult. The increase andinflation both on capital and operating costs requires us to go back andexamine what our return profile looks like and in that we will continue to goforward with the right way to take this feasibility study towards. And what weare really saying is we are going to communicate that to you next year.
Victor Flores - HSBC: That's great thanks and if Icould just ask a follow up on Hope Bay. The folks from Miramar have put out afeasibility that looks at a fairly small project and obviously you are lookingat this as a much bigger project. They had talked at one point in time about acouple of scenarios involving both a large scale open pit operation with someunderground and then a fully underground scenario as well. What do you think ofthose particular scenarios or how are you looking at this project?
Richard O'Brien: As you can imagine, the interestwe've held and currently hold in Miramar,we are very close to what they are doing from an operational perspective. Wecontinue to look at the plans that they put on the table, provide them sometechnical advise around that and I would say that at the end of the day Miramarand us, we see exactly the same thing there, which is the long-term perspectiveat greenstone belt and what we are really trying to do is to optimize what's thebest way to get started. I don't have the answer to thattoday nor does our technical team, but when we take ownership of this we willlook at the plans they currently have. We evaluate those in the context of whatelse we could do and we will make a decision. But I think it's clear that what Miramar has on the tableworks. The question for us, is there something that might work better, we arenot in a position to answer that today.
Victor Flores - HSBC: That's fine. I understand that.Just let me ask one final question. When do you think that you will have asense of how to develop Hope Bay?
Richard O'Brien: Well, clearly we are going tohave a little bit of winter time here when we can think about it and we willcomeback.
Victor Flores - HSBC: A long winter up there.
Richard O'Brien: Yeah.
Victor Flores - HSBC: Yeah.
Richard O'Brien: Yeah, and that's when we're goingto hold the mine to or for everybody too.
Victor Flores - HSBC: Great, I will send my associates.Thank you.
Richard O'Brien: Welcome.
Operator: Our next question comes from JohnHill with Citi.
John Hill - Citigroup: Yes. Thanks, everyone, and thanksfor the detail on the call. I was just wondering if you could update us. Wherewe are at in terms of Phoenixrecoveries, and then secondarily on that, why so long to get the crusher onsit?This was supposedly a priority when we visited the site in September of 2006?
Guy Landsdown: I can talk to the crusher, John.The crushers schedule is driven primarily by the delivery time on the crusheritself and as a result that we'll have it onsite towards the first or secondquarter of next year.
Richard O'Brien: With respect to the firstquestion with respect to recovery, grade, processing all of those things Johnare things that we will answer in more detail when we have the definitive mineplan coming up next year. In the mean time what we are seeing is moreefficiency in what we do. As I said, I think fragmentation has lead to a littleeasier processing both through the crusher and into the mill. The mill as anymill startup you know that we're still in a period where Phoenix is not even on for a year, so we arestill working through some of those issues, but the mill is operating betterthan it has historically. We continue to see more availability, but withrespect to recoveries mill or grade or the rest of that we will continue toprovide more details as we get into next year.
Russell Ball: John, Russ for the quarter wewere somewhere between 65 and 70.
John Hill - Citigroup: Okay great and then if one of youcould just branch off and talk a little bit about the merchant banking assets.There has been some discussion early on that gold, assets, gold, leveragedassets and royalties would be cheaper, now it appears that potentially the goldstrike royalty is going. I was just wondering whether that's correct and whatexactly we would plan to invest and that's going to be more sort of goldexposed and unique and long-term in the world of gold and that royalty?
Richard O'Brien: Yeah, I guess with respect tothat we have been pretty definitive in almost every presentation we made thatwe were selling the royalty portfolio. When you look at the royalty portfolioyou are right, gold strike is in that portfolio, as well as exposure to oil,palladium, copper, base metals any number of other things. When we sell theportfolio obviously we are trying to get the biggest dollar value that we can.Gold strike helps with that, so I think its absolute key component to where weare going forward. Where we are going to reinvest? Well, we have a number ofopportunities inside our own portfolio in a way you could think of ourreinvestment in to Miramar. Our job is really to operate goldmines and I'm definitive about that. We are going to operate, our job in somerespects, the carry over activity out of Newmont capital that we will continueto look at, is looking into junior companies that have exposure to gold, wherewe can find things in the earlier stage. Gold strike, not one of those, so aswe look forward, look for us to find earlier opportunities, opportunities thatwe believe have upsides and opportunities that come to us with operating goldexposure, that's our deal.
John Hill - Citigroup: Okay, very clearly stated,. Thenif I could just quickly…how do we plan to stamp seasonality out of the Nevada system, that'sbeen a pretty long standing feature, year in and year out?
Richard O'Brien: It's a good question; we will notstamp it out in any one year--there will be something we'll have to do overtime, but you have my management team's word on it. It's something we are goingto work through. Now, part of the variability, we have is seasonal right? But Nevada is not one of those generally, but in Nevada we do have tomanage through the many processing plans that we have, making sure that we bothfuel them as well as get the processing through them. So there is a little bit about,we shut down during the second quarter, we'll always do that, but I think withrespect to trying to levelise between the others, we are going to try to workharder to get that done. I would say, come back to us at the end of 2010 andsay, hey, you've done a great job, flattening this out, its going to take us abit to get there but we're going to get there.
John Hill - Citigroup: Got it, thanks
Russell Ball: John, Russ. Sorry, let me justadd something. As we've gone through a change in our planning horizon,historically, Newmont had planned on a calendar basis or a twelve year basis,four months sorry. And that had driven behaviors, but we have gone out for thisplanning cycle, which, again, we're right in the midst of that we'llcommunicate to the Board in the middle of December and to The Street inJanuary, February timeframe, is what we are asking our operators to do is to giveus a three-year plan that they can deliver on. So extending that time horizonto three years reduces that incentive to make this year look good by stealingfrom next year, which is not a particularly unique trait for Newmont. So I think part of it is behavior-driven.And as we look to the regions to deliver on the three-year plan, '08 to '10, inline with the mission and vision that we have communicated internally andexternally, I think you will see a change in behavior.
Richard O'Brien: And one quick indicator of thatmight be if you look to the fourth quarter of this year or next year to seewhat sort of inventory we might be carrying over into the next year, I thinkwe'll try to work through this in a systematic way.
Guy Landsdown: And John, the key for us, quitefrankly, is to look at the portfolio rather than just Nevada. I mean we can obviously look at Nevada and that is thearea that has historically been the one that's had the fourth quarter push. Butwhat we really need to do is to look at the portfolio and balance it across theentire region. For example, Boddington in '09 helpfill some of that gap in the yearend. That's the issue that we have asmanagement to manage around the portfolio just like an analyst or a PM would dowith their portfolio. We need to look at the contribution by region, and thenbalance that. And it needs to be for a longer time period maybe than we've donehistorically.
John Hill - Citigroup: Very good. Thank you.
Operator: Our next question comes from MarkSmith with Dundee Securities.
Mark Smith - Dundee Securities: Yeah, hi. I guess this questionis mainly for Russell. Maybe you could help me a little bit with some of themovements of deferred taxes on the balance sheet and how that reflected to thequarter? You had about $300 million added to deferred tax assets in the period?
Richard O'Brien: Yeah, Mark. As we alluded toearlier, the tax calculation is pretty complex and we have a number of movingparts. What we will commit to is through John to get you a greater breakdown onthe tax calculation, including the split between current and deferred taxes. Asyou've seen, we had some significant movements negative in the second quarter,if you want, through the income statement and then positives. We'll get youthat through John. And again, we can get that posted up on the website. I think the key going forward forfolks to realize is the 32% number. And yeah, you will see movement both intodeferred and current in and around that. But for the long-term, as we see it todaywith the assets and attributes we have, 32 is a good number for a tax basis formodeling purposes. We will get you more detail when you need through John'sgroup.
Mark Smith - Dundee Securities: Okay, good. Just following upthat a little just a little bit, you had $125 million in payable and in theoperating cash flow line. Is that a reasonable number to go below the line goforward?
Richard O'Brien: Yeah, Russ. You have to be alittle careful. Remember that those payments are lagging.
Mark Smith - Dundee Securities: Yeah. But there is not a big lagcoming, right?
Russell Ball: And a lot of the tax paymentsthat we make on the consolidated basis are coming out at Yanacocha. So withthat profile coming down, it will look different going forward. So again, we'llget something to you that give you an indicative number, at least, based on thecurrent asset that you can plug.
Mark Smith - Dundee Securities: Okay. Thank you very much, sir
Russell Ball: Take care Mark.
Operator: Our next question comes fromPatrick Chidley with BJM. Your line is open
Patrick Chidley - BJM: Hi. Good afternoon, everybody.Just wanted to ask about your oil prices that you've been experiencing throughthe quarter, have you hedged any oil or would you have been exposed to the spotprice for all of your diesel and what price are you looking for in the fourthquarter? What you are planning for in terms of your plans?
Russell Ball: Patrick, you cut out a littlebit. But I think your question related to any hedging activity around oil, isthat correct?
Patrick Chidley - BJM: Yes, right
Richard O'Brien: Okay. So I'd just say that wedon't currently hedge oil on an accounting basis. We do have a hedge for oilwith respect to the cash distributions that we receive from Canadian oil sandsand the principal appreciation or depreciation that comes along with thatinvestment. So that's the way to think of it. At this point, we consume about 3million barrels of diesel, 3 million barrels of oil a year. That gives you somerange of the exposure that we have. And relative to that, Canadian oil sandscovers with the distribution that we currently receive about 60% of the upsidein price that we might have related to that. While it doesn't show up on theincome that way, that's generally the way we're hedged.
Russell Ball: And Patrick, rest for '08 budgetassumption at least as of today was $80 oil and tied into that was 87.5 centson the Australian dollar. So that's what we are thinking currently now for '08,again we will assess that before we finalize numbers present to the Board andpresent to you. But clearly, both of those will put cost pressures on CIS. Butagain, the hypothesis is driven by weaker dollar is good from the marginprospective seen in the gold price.
Patrick Chidley - BJM: And your Canadian oil sandsinvestments, do you intend to continue holding that?
Russell Ball: Yeah, we have that, Patrick. Thebook value is roughly just over a billion. We paid about $300 million for thatservice. So as Dick said, a nice gain, it has been a nice hedge that workedthat well. Obviously, we can't book that gain in the hedge from an accountingperspective at least, but it is an economic hedge. As we said earlier, in the thirdquarter we will continue to evaluate that asset. And when the time is right andwe have the opportunity, we will convert that asset into cash and reinvest itin our core gold business. And we've been pretty consistent in tellinginvestors that since the restructuring and reorganization, if you want.
Patrick Chidley - BJM: Okay. Just one more question, ifI may, on Ahafo. You just appear to be warning that ratio below in the fourthquarter, was that because you are not planning to have positive gradereconciliation as I think you talked about in the third quarter or is thatbecause you really think that that's maybe the case?
Russell Ball: Patrick, I think the question wasAhafo and fourth quarter, where you see more certain grade. It's just theimpact of stripping as we move into new pit in new areas. So it's more drivenby the mine plan and the function rather than any negative issues if you wantwith grade.
Patrick Chidley - BJM: More stripping than throughput?
Russell Ball: Yes, exactly. Or more strippingand maybe lower grade. The throughput is largely affixed again. The throughputissue on the power side, which has been the issue, Ghana has improved, the rains havecome and the dam levels are up so, we do expect to generate less powerourselves and more through the grid. However, for those who have been watchingthe power situation in Ghanathere was a public announcement, I think it was this week or it might have beenlast week of rate increases. And obviously that will impact us and we will haveto work that through in the economics on achievements as well.
Patrick Chidley - BJM: Okay. Well, thanks a lot. Welldone and a good quarter.
Russell Ball: Thanks.
Operator: Our next question comes fromBarry Cooper with CIBC.
Barry Cooper - CIBC World Markets: Yeah, good day. A few questions.First of all, fairly simple one, maybe, could you explain the drop in thedepreciation rate for Nevada.You basically dropped at $40 amount quarter-on-quarter, about $30 from firsthalf. That seems to be quite a bit for what we would normally consider a stablearea?
Russell Ball: Well, Barry that's good question.We had two things going on. We looked in the second quarter and you'll see thatin our Q where we reassessed assets lives, particularly on the whole fleet. Wehad been using an assumption of I think it was seven years on our largeequipment fleet with some of the improvements in the maintenance function. Wehave extended that to 10.5 year, which is probably equates about 75000 hours ona whole truck round numbers. So that was part of it and therest was in moving with production. Again, the split is about 50-50 and itvaries by region between units of production and on the straight line message.So, again, some of it is the mix of production whether it's coming fromunderground or open pits and affect where we are processing it so. You will seethat for the Company we have backed off on the guidance for DD&A for theyear by about the same number $40 million to $50 million.
Barry Cooper - CIBC World Markets: Great. Okay. So going forwardwhat you suggest we look at them?
Russell Ball: Yeah. I think, Barry, thisquarter is pretty indicative. Again, we had a lot of production coming out ofbars and that will take some DD&A with it, but so that revised number seemsto be a reasonable estimate as we look forward in the planning process, youknow, with answers around 5.4 million round numbers.
Barry Cooper - CIBC World Markets: Okay. Good. And then on yourother guidance on the copper production 190 million pounds to 210 millionpounds you add 183, I am just wondering, I realized you don't like probablychanging guidance all that much, but that seems to be a pretty slow pitchtheir?
Russell Ball: Sorry, Barry for the year and Iam just looking at the release on page 11 of page 21. We are about 170.
Barry Cooper - CIBC World Markets: Yeah. Are you quoting sales, orare you quoting production?
Russell Ball: Sales.
Barry Cooper - CIBC World Markets: Okay. So there's a slightdifference there okay.
Russell Ball: There is a difference, Barry andthat's what Dick alluded to earlier with inventories moving around. And again,we are still currently today in the bottom of the pit; the rains have notcoming in. I don't know if its alumina or lumina, but we still have a shovel inthe pit. So, again, we will look to balance the production throughout theportfolio and that means, you may see some operations sitting on more inventoryat yearend. Again, the next is the function of how long we can access that highgrade in the bottom of that pit.
Barry Cooper - CIBC World Markets: Okay. Then the final question Ihave is, just wondering what your view is, and maybe its not a view, maybe it'sa defensive position that you undertake of the overall, the 1872 Mining Law,where defense are talking about imposing a 4% royalty on all federal land. Howmuch of your production comes off of nonpatented land in Nevada?
Richard O'Brien: This is good for exciting us. Ibelieve that our reserve in Nevada,only 4 million assets are on federal land at this time and our expectation isthat in final bill, you won't see a royalty on existing reserves.
Barry Cooper - CIBC World Markets: Yeah. I think it will get washeddown to nothing, pretty much by the time, it gets beaten around there.
Richard O'Brien: That's certainly our hope and ourexpectation at this point.
Barry Cooper - CIBC World Markets: Yeah. That would my guess as wellbut you never know sometimes. Okay. Thanks a lot.
Richard O'Brien: Sure
Operator: Our final question comes fromJohn Tumazos with John Tumazos Very Independent Research. Your line is open.
John Tumazos - John Tumazos Independent Research: Congratulations on theimprovement. I've several questions, and maybe you can address some of them.How much output do you expect to get from miners in the fourth quarter first.Second, is it right to assume that part of Miramar's availability was thedifficulty of staffing management and other positions in the far north, andwill there will be more acquisitions where Miramar's ability to bring talentedstaff moves the project along as a unique synergy, and finally in the Phoenixredrilling, what is the data you are looking for. Are you trying to exactlycharacterize ore hardness, oxide mix, sulphide at a vertical character or isthere an uncertainty as to the gold or copper content or some other attribute?
Russell Ball: Right, I will take those John,so, first on Midas. Think of Midas as a 10,000 ounce a month producer. As weramp up during the fourth quarter recognizing that it's already the end ofOctober, at best, we have two months at 10,000 ounces, at best. I would suggestthat we are moving into new ground, new stoping, still trying to get it rightout there. It will come in less than that. But think of it in that range;that's our capability on that same. We will do 20 that is it at the most. So,think of it that way. With respect to Miramar, Miramar was not reallyavailable. Miramar was something that weunderstood the project, we understood the potential of the Green Stone belt,and we just worked with the old, with Miramara company that we had an invested in for sometime. I think they have done apretty extraordinary job of keeping their team focused on drilling, on puttingthe mine plan together. Clearly one of the things that Newmont does bring tothis operation and answer to your sub part to this, I think that Newmont doeshave the capability, the technical capability and other capabilities to reallywork through some of these issues that maybe, some other companies don't have. We also have the balance sheetstrength, and we have a solid base of production that allows us both in Canadaand in other places throughout the world to take some risk. I think that that'sone of the things you give when you buy a major gold company. We can take aheadand we can still keep on taking just like we did with what happened in East Pakistan. Now I would suggest going forwardwhen I talk about scope and scale benefits. That is exactly the kind of thingthat I hope we can take other places. Does that mean more acquisitions? I don'tknow quite frankly, because if the market gets frothy we are not going to bethere. If the market makes things available that we think makes sense, that wecan do on an accretive basis, that we can do in a way which is respectful ofour shareholders and our, because we all have an investment, the share pricethat we have, we'll consider that, but that's the calculus. It's not just getbigger, it's get better to make sure that we're bringing something to the tablethat we bring a unique aspect that maybe not everybody else does. That we canbring this development into production in a way that brings value to ourshareholders. And lastly, with respect to yoursubpart three question on Phoenix,the data we're looking for is all of that that you suggested. It has to do withsome older drill holes. That's why we receive data on those older drill holes.We're finding that we need to go back and update those drill holes for avariety of reasons, but we are looking for our harness, we are looking formetallurgical content. We are through that drilling, going to continue till welook at the reserve content for copper, gold. All of those things are on thetable at Phoenixright now, and that's precisely why we're going to be drilling these 150 yearsold or so holes over the balance of this year and in the next year.
John Tumazos - John Tumazos Independent Research: If I could follow-up concerning Phoenix for the first 46 holes suggesting net-net betteror worse data, and concerning Miramar,just cruising their website there were a lot of job openings. It seems likethere were more jobs in management vacant and that may be filled. And I didn'tget the impression they have any material undisclosed with that because it wasall up on the web. So it didn't give the impression like they were going to beon schedule with the small those north ones. And I would think there must be alot of companies and situations where they can't really stop their projectsthat would be opportunities, not really bidding more situations.
Russell Ball: That could very well be respectto Miramar. Ihaven't had the time to cruise other people's website to see if that's thecase, but we do have a group that keeps their ears to the ground here, so we'llkeep looking for those opportunities. And with respect to Miramar's, as I said,I think we'll work a complimentary process here to keep the people they have toadd our people and move this project forward so that's sort of a last answer tothat, and with respect to Phoenix, again, we've drove those holes. That doesn'tmean we have had time to assay all of them, it doesn't mean we have anyconclusion at this point, still preliminary as we keep saying when we get themine plan together, we will update analysts. So with that, I want to thankeverybody for their attention today, and again, if you other questions, JohnSeaberg and the IR team would be happy to follow up with you. Thanks again.
Operator: Thank you for participating intoday's conference call. You may disconnect at this time.